Adrian Michael Hallmark: Good morning, everyone, and thank you for joining us today for Aston Martin's Half 1 2025 results. It's a pleasure to be here alongside Doug Lafferty, CFO; and James Arnold, Head of Investor Relations. Before Doug takes you through the financial performance in detail, I'm going to provide a summary of our key achievements and areas of focus during the first half, as we prepare for a planned increase in volumes, which will drive enhanced financial performance in the second half of 2025. This includes the expected delivery of positive free cash flow generation in the second half and a 2025 adjusted EBIT improving towards breakeven. As we outlined at the 2024 results, following an intense period of product development, our focus has shifted from pure volume orientation to value-driven growth in order to create a sustainably profitable business model. And I'm delighted to report that we're progressing well with our operational and cost transformation program, the details of which I'll share with you shortly. Our first half performance, as guided, reflected our disciplined approach to production and deliveries. This resulted in retail volumes outpacing our wholesale volume by over 40% as we seek to optimize our stock levels around the world by model. We're already seeing the benefits from the investment in our next generation of core models through strong ASP growth, up 7% to GBP 192,000. And this will further improve as we continue to launch new derivatives, including the recently announced Vantage S, DBX S, Vantage Roadster and Vanquish Volante and drive further option sales. Supported by robust demand and a disciplined supply policy, once these core models become established across our markets, I expect to see our forward order book improve beyond the current 5-month horizon. As we look at the broader global operating environment, tariffs imposed by the U.S. government have been a particular issue for us to deal with, adding a degree of uncertainty to global trade and economic performance. While the U.K. government moved quickly to secure a trade agreement with the U.S., announcing this on the 8th of May, the scheme only became operational on the 30th of June. This left us with 24 hours to invoice the entire quarter worth of vehicle sales in the U.S. Under which the first 100,000 U.K.-made cars imported into the U.S. each calendar year qualify for a reduced tariff of 10%. And any U.K.-made cars sold beyond the 100,000 units will attract the higher rate of tariffs of 27.5%. We thank the U.K. government for their efforts in negotiating this preferential rate, which currently puts the U.K. carmakers at a better position than those in many other countries. But at the same time, let's not forget the 10% rate remains far higher than the previous rate of 2.5%. As a consequence of these changes, we have already implemented a dynamic pricing strategy, announcing in June an initial 3% increase in the U.S. as we seek to mitigate the financial impact of the 10% tariff. We continue to engage with the U.K. government regarding the first come, first served quota mechanism. This is due to the uncertainty that it creates in terms of planning and forecasting the current financial year and then quarterly planning from '26 onwards. We have been assured that government understands our concerns and we will wait further clarification on how we will ensure that there is a fair allocation within this U.S. quota, providing the whole U.K. car industry with the ability to access this 10% rate on an ongoing basis. Also, when we look at the global operating environment, the market for luxury vehicles in China remains extremely subdued. As such, we're taking further action to support our China dealer partners to reduce their stock levels, and this will help us to benefit from the next generation of cars and improved market conditions that we expect to emerge in the beginning of 2026. Finally, I'm pleased to announce today that we shortly expect to complete the sale of our shares in the Aramco Formula One Team. This follows the announcement in March this year of our intention to enhance liquidity through the sale alongside further investment from the Yew Tree Consortium. In total, these combined activities will exceed our guided liquidity enhancement of GBP 125 million, with the gross proceeds alone from the AMR GP sale expected to be around GBP 110 million. Adjusting for the forthcoming sale, total liquidity at the end of the period will have increased to circa GBP 340 million, positioning us well ahead of our expected free cash flow generation in the second half of this year. Now moving on to recent exciting developments across our core product range. Our product innovation focus, which will support sustainable profit growth in the future, has seen the launch this year of 4 new derivatives as promised. These include the Vantage Roadster and Vanquish Volante convertibles in addition to the new performance-focused DBX S and the Vantage S. As I mentioned in the Q1 results, the S Brand has a long association with Aston Martin and remains very much a part of our strategy moving forward to introduce derivatives through the life cycle and across the whole product range. This keeps our models fresh and continues to offer customers a growing range of choice with greater focus on personalization and options. I'm confident these derivatives will support a strong ramp-up in volumes and financial performance in the second half of this year and beyond. As I've mentioned previously, Aston Martin is fortunate to be one of a few global brands who can successfully deliver ultra-exclusive specials. These models epitomize the innovation and performance at the beating heart of the Aston Martin brand. Continuing with this momentum in specials, key milestone for 2025 is the eagerly awaited delivery of Valhalla, our first mid-engine plug-in hybrid electric vehicle and it's a game changer for the brand, bringing hypercar performance to a supercar price segment. We expect it to be a significant contributor to our financial performance over the next 2 to 2.5 years. Valhalla will mark our entry into a new segment of the market for Aston Martin, as well as a step forward in our commitment to hybrid and electrified technologies with performance at the core of their purpose. With the initial low volume production now underway, deliveries are expected to commence in the fourth quarter of 2025, and we have been advancing customer specifications for around 1/3 of the vehicles already ordered and scheduled into production. We plan to build just 999 units over a 2.5-year period, and we already have a 12-month order book in place. This impressive order book is prior to customers even driving the vehicle. And in the coming weeks, we will have prominent dynamic and static displays following the great experiences we already delivered at Monaco and Goodwood Festival. Looking ahead to the third quarter of this year, media and customer drives will be happening on a global basis to further develop the awareness of this vehicle. As we enter the final stages of the project, one of the key outstanding processes is the timely completion of certification and homologation across our key markets. We're currently working successfully and tirelessly to ensure that we meet all of those time lines. And it looks today like we're fully on track. Following the return of Aston Martin to the pinnacle of endurance rating with the Valkyrie hypercar and its recent participation at Léman and the World Endurance Championship, announced the launch also of 10 track only Valkyrie Léman specials. We expect about half of these to be delivered in 2025 with the remainder in 2026. Now moving to a key focus for us this year, our transformation program. This forms part of the unique foundations of Aston Martin, underpinned by the strategy and investment in recent years of Lawrence Stroll, the Yew Tree Consortium and all of our strategic investors. I want to introduce the same passion and energy that we brought to our brand and products into how we operate as a business. And we'll do this alongside instilling operational excellence and discipline. Shortly after I joined last year, we've been analyzing all areas of the company to identify how we benchmark and where significant improvements can be made. And I'm delighted to say that there are many areas and opportunities, as you'll see in the coming slides and we're already starting to demonstrate real progress, which in the years to follow, will enhance our performance as we realize the full potential of this iconic brand. Starting with brand awareness and demand generation which should enhance the quality of our order book. We set out clear plans this year to operate with a disciplined approach to production and to supply that position us strongly as we enter 2026. In '26, we will have our enhanced range of core models and new derivatives. And in addition to these, we're seeking to maximize the value of every vehicle, which is why we're continuing to deliver additional options to offer customers and meet the desire for even greater personalization. We've maintained a stable rate of contribution to core revenue at about 18%. And in the future, we'll look to build on this. Customer loyalty and retention is another key factor that will underpin our future success. We have a great opportunity with the upcoming Valhalla with over 50% of the orders to date from customers new to Aston Martin. Not only does this demonstrate the power and awareness of our brand, but it also provides us with the opportunity to showcase our core range of cars to circa 500 new customers. From a cost base and productivity point of view, we've continued to work with our colleagues across the business to deliver on the previously announced head count reductions. In line with guidance, the operational cost savings from this will start to be realized in the second half of this year with a circa GBP 25 million annualized rate of savings just in this single activity. But that's not the end. There are other savings that we're activating across the business through a disciplined approach and we expect to deliver operating leverage with a '25 financial year SG&A falling well below the GBP 300 million that we saw in '24, supporting our goal of improved effectiveness. We also successfully completed the rollout of our new ERP system in our production sites. The rollout of Gaydon in quarter 2 was executed with minimal interruption to the business, thanks to careful planning and intense execution. We've progressed a modern, integrated and efficient cloud-based systems that will drive greater operating efficiencies across the supply chain. A key to product innovation through a life cycle is offering our customers the most relevant, exciting and compelling vehicles in the sector. We've clearly demonstrated that already with the derivatives I've outlined, we can assure you that we'll have more to offer in the future as we progress towards hybrid electrified performance technology. And finally, delivering excellence in quality and product launch cycles. Here, we plan to build on the significant learnings from the intense period of new launches that we've been through over the past couple of years. In particular, ensuring that we provide sufficient capacity and time between launches to be able to deliver programs and ramps up effectively. And Valhalla now remains our key focus, as I mentioned, and we are on track for the first customer deliveries in the last quarter of this year. We also need to deliver the high standards and consistency across our portfolio. We've already seen significant improvement in cars completing production process right first time from about 65% during the second half of 2024 to 95% today. As I previously indicated, was our target. This has huge benefits across the organization, removing unnecessary costs and efficiencies and delays. Also benefiting the business is the decision that we announced in quarter 1 this year to invest in software and infotainment system improvements in our cars. This, in addition to some further warranty cost increased spend, circa GBP 20 million in half 1 compared to last year, but already we are seeing the benefits from this program with improved customer satisfaction scores, a trend I would expect to see accelerate as we move into the second half of this year. So lots of positive developments as we aim to get the business consistently performing and becoming sustainably profitable for the future. With that, I'd now like to hand over to Doug so he can take you through the financial results in detail as well as the outlook for the rest of the year. Thank you.
Douglas James Lafferty: Thank you, Adrian, and good morning, everyone. Before we move into Q&A, I'll take you through our financial performance for the first half of 2025 and our guidance for the remainder of the year. As Adrian mentioned, overall, our first half performance was largely in line with guidance. Reflecting fewer specials deliveries and the uncertainty we and many of our peers have experienced in relation to changes in U.S. tariffs and the wider macroeconomic environment. Looking at the detail on the slide. Wholesale volumes were broadly in line with the prior year at 1,922 as we followed a disciplined approach to production and deliveries in support of stock optimization. This resulted in retail volumes outpacing wholesales by over 40% as we prepare for growth in the second half of the year, particularly in Q4, driven by our new core derivatives and specials. In terms of revenue at GBP 454 million, this reflected a 25% reduction compared to the first half of 2024, largely as a result of fewer specials delivered as we prepare to commence our Valhalla deliveries in Q4 2025. Looking at our core performance. ASP increased by 7% to GBP 192,000, benefiting from our next-generation models, including the flagship V12 Vanquish, Additionally, demand for unique product personalization continued to drive strong contribution to core revenue of 18%, broadly in line with the prior year period. As a result of the lower specials volumes, increased warranty costs and other investments made in enhancing product quality, adjusted EBIT decreased by 22% in the first half to GBP 122 million loss with depreciation and amortization decreasing by 27% to GBP 119 million, also primarily driven by the fewer specials. As we turn to our first half performance in more detail, the split of our wholesales is shown on the left-hand side of the slide. Sport and GT volumes increased slightly year-on-year to represent over 70% of the mix, reflecting next-generation models of DB12, Vantage and Vanquish. SUV volumes remained in line with the first half of 2024 at just over 25% of the mix. As Adrian has mentioned, we expect to realize the benefits of our full range of new core models and derivatives, including Vantage Roadster, Vanquish Volante, DBX S and Vantage S as we ramp up deliveries through the second half of the year. Specials reduced by 100 units to just 18 deliveries in the first half, reflecting the completion of previous programs ahead of the commencement of our Valhalla deliveries expected in Q4 this year. For the full year, we continue to expect to deliver modest total wholesale volume growth when compared to 2024. On the right-hand side of the slide, total ASP decreased by 25%, again reflecting the fewer specials deliveries compared to the prior year period, while core ASP, as I've already mentioned, increased by 7%. Overall, volumes remained well balanced across all regions in H1 2025, with the Americas and EMEA, excluding the U.K., collectively representing 62% of wholesales. This was despite the challenges relating to the U.S. tariff implementation, which only came into effect on the 30th of June 2025. The movements in volumes across the U.K. and EMEA reflected the timing of model transitions and deliveries into these markets. Volumes in APAC decreased by 9% with volumes in China remaining broadly flat compared with the first half of 2024, reflecting ongoing macroeconomic weakness continuing to impact demand, a trend we expect to continue at least in the near term. As Adrian has outlined, we are taking further action to support our China dealer network to help position them well to benefit from our next-generation core model range when the market conditions improve. As we turn to the next slide, as expected, the impact of fewer specials deliveries is reflected in the decline in gross margin year- on-year. The impact of core wholesales despite a slight increase in volumes and improved mix from the next generation of models was also dilutive to gross margin as a result of the warranty costs and other investments made in product quality. This includes the previously communicated investment in software and infotainment enhancements, which has resulted in recent improvements in customer satisfaction. Additionally, gross margin was impacted by the U.S. tariff increases. As Adrian has mentioned, we have implemented a dynamic pricing strategy announcing in June an initial 3% increase in the U.S. as we seek to mitigate the financial impact of the additional tariff. As we ramp up production in H2, benefiting from additional derivatives and the contribution from Valhalla, we now expect full year 2025 gross margin to improve from current levels to be broadly in line with the prior year. Adjusted EBIT decreased by 22% year-on-year to a loss of GBP 122 million, primarily reflecting the gross profit movement, which was partially offset by a 24% decrease in adjusted operating expenses, excluding D&A, with D&A also decreasing by 27%. The decrease in adjusted operating expenses aligns with our focus on optimizing the cost base as part of our ongoing transformation program. It also includes an GBP 11 million benefit from the secondary warrant revaluation uplift associated with the forthcoming sale of our investment in AMR GP. Our previously announced organizational adjustments are progressing as planned, and we are on track to deliver a reduction in adjusted operating expenses, excluding D&A, in the full year 2025, now expected to be below GBP 300 million. With updated D&A guidance of circa GBP 340 million, adjusted EBIT is now expected to improve towards breakeven. This also reflects the impact from foreign exchange rate movements, the additional investment in software and infotainment enhancements and the support for our China dealer network. As shown on the right-hand side of the slide, net adjusted financing costs decreased to GBP 9 million from GBP 88 million, primarily due to a GBP 78 million year-on-year impact of noncash U.S. dollar debt revaluations resulting from the weaker U.S. dollar. Finally, first half of 2025 adjusting items excluded the redemption premiums associated with the refinancing of our senior secured notes in H1 2024, though included the expected costs associated with the organizational adjustments. Turning to free cash flow, which was broadly stable year-on-year with an outflow of GBP 321 million. This reflects the lower EBIT in addition to higher net cash interest paid of GBP 69 million. As expected, working capital improved year-on-year to an outflow of GBP 45 million compared to the GBP 119 million outflow in the first half of 2024. The key driver here being the deposit inflow relating to Valhalla with deposits held increasing by GBP 28 million compared with an GBP 84 million outflow in the prior year period relating mainly to the delivery of Valour and Valkyrie specials. Capital expenditure of GBP 171 million was slightly below the comparative period which meant focused on future product pipeline, including Valhalla. In H2, we will accelerate our investment in new product developments, which will support our growth strategy. CapEx for the full year is still expected to be around GBP 400 million. As we ramp up deliveries of our new derivatives and specials through the rest of the year, we still expect to deliver positive free cash flow generation in H2 driven by performance in the fourth quarter. To finish with cash and debt, we ended the first half of the year with total liquidity of GBP 228 million. We expect to enhance liquidity with the gross proceeds of around GBP 110 million in Q3 2025 from the forthcoming completion of the sale of our investment in AMR GP. Net debt increased to GBP 1.38 billion, combined with the decline in EBITDA year-on-year, this resulted in an adjusted net leverage ratio of 6.7x. As we prepare to deliver a significantly stronger second half performance and through disciplined strategic delivery and profitable growth in the future, we expect to deleverage in line with our medium-term targets. Finally, looking ahead to the remainder of 2025. We continue to closely monitor global events and will remain agile and responding to changes in the external environment. That said, we continue to expect to deliver a significantly stronger performance in the second half of the year compared with the first half, commencing with Q3 improvements but primarily driven by Q4. This is due to the benefits from initial Valhalla deliveries in addition to the contribution from our full range of core models, including first deliveries of Vantage Roadster, Vanquish Volante, the DBX S and the Vantage S. As I've already mentioned and as shown in detail on the slide, we've slightly revised some of our guidance for 2025. Additionally, the impact of the recently announced U.S. tariffs on the global economy remains uncertain. And whilst we now have clarity on the 10% tariff rate for the U.K. automotive manufacturers, we continue to monitor the current quota mechanism and how this will impact our deliveries, especially for the higher-priced specials, including Valhalla towards the end of the year. Thank you. And I'll now hand over to the operator to open for the Q&A.
Operator: [Operator Instructions] And our first question comes from Harry Martin at Bernstein.
Harry Martin: I'll start on the U.S. tariff the disclosure on the 3% price increase. I just had a couple of clarifications. Firstly, is it right to infer you're expecting to be able to absorb and offset 2/3 of the tariff, so the other 7%? And then also, can we expect U.S. deliveries in the future, maybe even this year, skew more to January versus Q4 with that uncertainty about the quota limit? And can you simply skew Q4 deliveries in the future to Europe and the other key markets to smooth the impact on the rest of the business? And then the remainder of my question is on the order book. So starting with Valhalla. When we spoke 3 months ago, Adrian, you said that the 2026 Valhalla deliveries were 90% covered, a 12-month order book still implies some slots available in the second half of next year and limited incremental progress. So can I just ask about what the progress has been in the order book on the Valhalla this quarter? Have there been any cancellations in the U.S. around the tariffs or any other impacts there? And do you expect the full 999 units to be sold? And then just a final one on the order book. For the wider group, the ambition has been for some time to increase the length of the book beyond that 5 months. I think that the hope was that in H1 this year by limiting deliveries to dealers as you've done successfully versus retail sales that you might be able to extend that order book. So should we see some progress in the second half of the year?
Adrian Michael Hallmark: Okay. Thanks, Harry. We'll start with the tariffs then. First of all, on the price increases, we clearly are in a dynamic situation. We will remain vigilant as to the responsive manufacturers that we compete with. And any further pricing will be a result of that analysis. So it's probably not the end, but to now, we're watching and waiting for all the other movements to occur. A great example being until a few days ago, there was no deal with Europe. That would have made -- if that hadn't been achieved, it would make obviously a difference. But remain vigilant. We will not be planning to absorb all of the tariff cost. We'll be addressing that on a competitive basis. In terms of timing of cars, you're absolutely right. The quota system is the remaining jeopardy with the tariff system. We're delighted with the fact that there's been a deal done with the U.K. and U.S., the government have worked hard to achieve that, and it was fast, and that was a major relief despite the fact we had to almost stop shipments for the quarter of the year for 1/3 of our volume, which was quite exciting to put it mildly. The good news is we didn't catch it all up on the last day of the quarter. But going forward, you're absolutely right, because of the nature of the U.K. export profile, the first come, first served basis of the current agreement means that by default with JLR being about 3/4 of the total U.S. imports from the U.K., it could put pressure at any given period on the number of slots available at the 10% quota. So we would -- if the quota run out would be exposed to 27.5% ,so we will remain dynamic on that as well. Of course, going forward, exactly as you've suggested, the difficulty is that quarter 4 is historically and naturally the biggest quarter for sales for all companies in the U.S. market, not just in Aston Martin phenomenon. So moving to quarter 1, it means that we have to bring production forward earlier in the year to meet that quarter 4 demand. And because of the timing of what's happened with the tariffs, we cannot do that this year. So we have to rely upon the quota system working for 2025, but we definitely will adapt in '26. Just like we did in quarter 1 for quarter 2, we switched production for the U.S. into quarter 1 and out of the rest of the world, got the vehicles into the U.S. and switched out to the U.S. in quarter 2 and back to the rest of the world. We manage that first tariff uncertainty period effectively. We've now got to do that ongoing. In terms of the order book for Valhalla, it's a moving feast. The net position between quarter 1 and quarter 2 is that we have more orders for Valhalla. I said the end of '26 as a general statement, and it's still about the end of '26. What we've not seen yet because people are holding off until they've seen the car physically and driven the car. We've not seen the next spike in orders. We're largely covered for 2026. And if you walk in today to order a Valhalla, it would be late in quarter 4 that you get the build slot in some markets even at quarter 1 in '27. So we're still plus or minus in the same space. We haven't seen massive orders that we have -- sorry, we haven't seen massive cancellations. We've seen some as a result of the tariff situation and general economic environment, but the net position is still better than it was in quarter 1. And I'm confident, following Goodwood, Monaco and the events that we've done and all the activities we've coming for the rest of this year, including drive events, from September through to November in Europe and America, where people get into the car, we'll see another acceleration of orders on the vehicle. To put it in context, just overall, 1/3 of the lifetime built for Valhalla is already secured with second deposits. We're in good state.
Harry Martin: I think that was...
Adrian Michael Hallmark: U.S. tariffs.
Harry Martin: Just on the 5-month order...
Adrian Michael Hallmark: Sorry, the rest of the range, yes. It's definitely by model. If I look across the range, with Vanquish, we're way beyond 5 months. With Vantage Roadster, same, Vantage generally, we're about on track and the same with DB12, DBX707 is remaining the challenge. But the S model, which we're just launching will be shifted to markets in quarter 3 in real volumes. And effectively, we'll be 90% of the build for the rest of this year. We're quite confident from dealer first reactions and dealer first activity that we will, with DBX extend the order cover better than we have seen with 707 to date. And just as a taste, early next year, there are 2 more product actions of DBX derivatives to further polarize the range, focus it in 2 different directions, and we're confident that S through to these next 2 derivatives will be a great bridge to building that order bank worldwide.
Operator: Next question comes from Akshat Kacker from JPMorgan.
Akshat Kacker: Three questions, please. The first one on China. Could you just talk about the level of dealer support that's expected in 2025, and if you could help us understand the nature of these payments, is this a one-off payment? Or do you expect further payout if market demand does not improve? The second question is on inventories. After a volatile quarter that we have seen in the second quarter, could you please talk about the current situation of core car model inventories in the U.S.? Are stock levels in line with your expectations? Or will you be restocking in Q3? And the last question is on capital investments. I think you have reiterated the GBP 400 million spend this year after the full refresh of your core car product portfolio. Could you just give us more details on CapEx allocation? Is there a higher-than-expected spend on the Valkyrie? Is it going towards powertrain transition? Are you upgrading manufacturing facilities? Just trying to understand this better.
Douglas James Lafferty: Okay. So on China, in specific details on exactly how much we're supporting dealers by, but it's a sort of double-digit million sum to give you some guide low double digits. And that support is really in the guide of additional variable marketing to allow the dealers to move vehicles, which would be in inventory for a little while through to end customers. So we don't expect it to repeat. We expect that action to have the impact that we'd like it to have during the second half of this year and for the action to leave the dealers in China in a better position as and when the market returns to some kind of normality. So the market in China is remains very, very stagnant, I think, for ourselves and for others. So this action is to help stimulate the sale of the inventory of the dealers have so that we can free up space together new products in next year. On the CapEx, yes, so we're reiterating the GBP 400 million. We're obviously running slightly behind that from a run rate point of view in the first half, but that was exactly as we expected. But in terms of construct, it's not dissimilar to how we've described it before. So the vast majority of the CapEx is obviously on the engineering programs. And as you'd expect, there's quite a chunk of CapEx on the Valhalla in the first half of this year. But then as we move through the second half of the year, that starts to pivot to the next range of vehicles that we're going to be bringing out. So at least 80%, 85% of the total CapEx bill is on R&D engineering for vehicles. The remainder is on -- what I call keeping the lights on and things like that, but nothing material in terms of changes and capital investment from a factory point of view is more just ongoing maintenance, investments in IT and a little bit of investment in marketing CapEx, but the vast majority remains behind the car programs.
Akshat Kacker: Great. And just the last one on coal car model inventories in the U.S., please?
Adrian Michael Hallmark: Yes. So if we look globally, first of all, the inventory is down by about 1/3 compared with the first of January this year. So major shift and we're just about in line with our ideal stock level, give or take, 100, 150 units. We're in a really good shape. In particular, in the U.S., because of that 3 months moratorium on shipping, we were able to run down stocks significantly. So they are even slightly better than the global average reduction that we have achieved. Of course, the -- not only the total quantum, the stock has reduced significantly. But as we go through the year and launch these new derivatives before that Doug mentioned in particular, the stock levels will stay similar to the point that we've achieved in the midpart of the year, but the mix will be totally changed. So there will be, Volantes and Roadster and DBS in there, and Vantage S when they weren't in the first half. But it's not just a different level in total quantum but also it's the fresh projects, new products with new appeal. So that's why we're more confident about the growth potential in the second half of the year now that we've reset
Operator: [Operator Instructions] The next question comes from Horst Schneider from Bank of America.
Horst Schneider: Just a few questions left from my side. The first one is, as you can imagine, is about gross liquidity in relation to the cash burn that you had in Q2, we all have got in mind that you always said you feel comfortable with this GBP 200 million to GBP 300 million of gross liquidity, you are now rather at the lower end of this range. And it sounds that there's still going to be a cash burn in Q3, which could push you basically by the end of Q3 below your target gross liquidity level. Is that the reason of concern? And does that maybe require any action? That's question number one. Question number two, I hear you on inventories. But when I look at your balance sheet, I can't really see that the inventories have come down. So maybe you can explain that again to a stupid analyst? And the third question that I have on, when you talk about orders, and I heard you on the various models, can you also maybe specify what's the demand trend by region. I think it's still really bad in China also because the luxury tax has increased there. But maybe what's the trade-off between U.S. and Europe?
Douglas James Lafferty: I think I'll probably take the first 2. So on the liquidity, yes, obviously, we've talked in our release about the position from a liquidity point of view. The free cash flow in Q2 was impacted a little bit by timing. So as Adrian mentioned, we actually ended up shipping or crossing the sort of tax line, if you like, on all of the cars that went into the U.S. only on the 30th of June, and that makes it very difficult to collect all the cash in relation to those vehicles. We did a very good job as a team to get the cars across the line, but there's a little bit of an overhang, so there's a catch-up from a receivables point of view. And secondly, sort of front and center on the announcement here is that we're expecting very imminently to have the liquidity boost from the sale of the Formula One shares, and that's around GBP 110 million. So between those 2 sorts of things, that will put us squarely back in the territory of being more comfortable than it would appear at the end of Q2. And then, of course, we're expecting to generate cash in the second half of the year. So from a liquidity point of view, we don't have any concerns, and there's no action at this stage for sure. With regards to the inventory, I think there's sort of perhaps a little misunderstanding. So we don't hold any dealer inventory on our balance sheet. So when Adrian is talking about dealer inventory and when we talk about the relationship between retail and wholesale, you'll never see that on the balance sheet. The inventory on the balance sheet is inventory pertaining to either company work in progress, company stock or anything like that. So there's no swings on the inventory and the balance sheet as it relates to the inventory in the field. And the third question, I think, was again on retail?
Horst Schneider: Sorry, just quickly, but then we should see basically a more meaningful reduction in the trade receivables, they have come down, but not really that meaningful. That should reflect the dealer inventories, right?
Adrian Michael Hallmark: Yes, to an extent, but it also, of course, reflects the timing of the sales force. So over the last several periods, the timing of the sales has certainly been the biggest swing from a trade receivables point of view. But as I said, from an inventory perspective, that's the company inventory.
Douglas James Lafferty: And on the demand by region, I think -- if we break it down into 6 parts, U.K. is pretty much on plan and doing okay. Europe, the same. U.S., despite the tariff disruption, the underlying performance is what we expected. So it's fairly stable. It's our supply that's being disrupted, not the dealers' ability to sell the stock that they had. Middle East is not at its full potential for us, but it's stable and predictable. China is a big problem, child, no question. And we have a small tactical problem in Asia Pacific, again, not as significant -- anywhere near as significant as China, just a little bit of rebalancing. So overall, 4 out of the 6 regions are in good shape, and we can rely upon. So on that point, I think we're just about out of time. I'd like to thank everybody for participating again, and we're looking forward to acceleration in the second half and some more clarity on the tariffs in particular and the quota system. Thank you, everybody.
Operator: Thank you very much for your attendance. You may now disconnect your lines.